Operator: Good morning and welcome to Dover's Third Quarter 2018 Earnings Conference Call. Speaking today are Richard J. Tobin, President and Chief Executive Officer; Brad Cerepak, Senior Vice President and CFO; and Paul Goldberg, Vice President of Investor Relations. After the speakers' remarks, there will be a question-and-answer period. [Operator Instructions] As a reminder, ladies and gentlemen, this conference call is being recorded and your participation implies consent to our recording of this call. If you do not agree with these terms, please disconnect at this time. Thank you. I would now like to turn the call over to Mr. Paul Goldberg. Mr. Goldberg, please go ahead, sir.
Paul Goldberg: Thank you, Laurie. Good morning and welcome to Dover's third quarter earnings call. Today's call will begin with comments from Rich and Brad on Dover's third quarter operating and financial performance and some comments on our 2018 outlook. We will then open the call up for questions. As a courtesy, we kindly ask that you limit yourself to one question with a follow-up. Dover is providing adjusted EPS results and EPS guidance that exclude after-tax acquisition-related amortization. We believe reporting adjusted EPS on this basis better reflects our core operating results, offers more transparency and facilitates easier comparability with peer companies. Reconciliations between GAAP and adjusted measures reflecting adjustments for aforementioned acquisition-related amortization, rightsizing and other costs are included in our investor supplement and presentation materials. Please note that our current earnings release, investor supplement and associated presentation can be found on our website dovercorporation.com. This call will be available for playback through November 08 and the audio portion of this call will be archived on our website for three months. The replay telephone number is (800) 585-8367. When accessing the playback, you'll need to supply the following access code 1598024. And before we get started today, I'd like to remind everyone that our comments today which are intended to supplement your understanding of Dover may contain certain forward-looking statements that are inherently subject to uncertainties. We caution everyone to be guided in their analysis of Dover by referring to our Form 10-K for a list of factors that could cause our results to differ from those anticipated in any such forward-looking statement. We also undertake no obligation to publicly update or revise any forward-looking statements except as required by law. We would also direct your attention to our website where considerably more information can be found. And with that, I'd like to turn the call over to Rich.
Rich Tobin: Thank you, Paul. Good morning, everybody. Thanks for joining us on this morning's conference call, let's get started on Slide 3. Organic revenue was up 3% for the quarter as solid demand trends in Engineered Systems and Fluids more than offset the continued weak demand environment in Refrigeration and Food Equipment. Adjusted Q3 earnings of $203 million and adjusted earnings per share were up 9% and 14% respectively. Bookings remained solid at $1.7 billion at the end of the quarter and are broad-based across the portfolio excluding Refrigeration. Overall the quarter was largely in line with our internal forecast and our earnings comments at the end of Q2. We expected a slower Q3 relative to the previous quarter in Engineered Systems as a result of demand colonization and scheduled production shutdowns at our European operations, despite this Engineered Systems margin conversion, our volume remained strong at 47%. Fluids performed as expected with solid results in Pumps and Process Solutions buffering the residual footprint costs in fueling and transport. Refrigeration & Food Equipment proved to be tougher than expected in the quarter and we've incorporated current conditions into our full-year guidance. Our fourth quarter stacking up to be driven by improved margin conversion in our Fluids segment as we get our operational issues behind us, coupled with the flow-through of our cost initiatives more than offsetting the negative impact of Refrigeration and Food Equipment business and the higher tax rate projected for the quarter. We have significantly completed our SG&A rightsizing plans during the quarter, which we will address in the presentation and that we're moving forward with our footprint rationalization activities, which we expect to begin executing in Q4. As a result of the above, we have further tightened the top end of the range of our EPS guidance to $4.80 to $4.85 per share. I'll pass it to Brad here and come back during the segment slides, Brad?
Brad Cerepak: Thanks Rich. Good morning, everyone. Let's turn to Slide 4. As mentioned, our results were largely driven by solid demand in Engineered Systems and Fluids. Adjusted segment EBIT was essentially unchanged at $274 million and adjusted margin was 15.7%. This performance reflected strong conversion in engineered systems and improved performance in fluids, largely offset by lower volume in Refrigeration and Food Equipment. Adjusted segment EBITDA was $341 million. Adjusted earnings was $203 million and adjusted EPS was a $1.36. EPS benefited in the quarter from a lower tax rate on discrete tax benefits. The full-year effective rate is now expected to be between 20% and 21%. Moving on to Slide 5, let's get into a little bit more detail on our revenue and bookings results in the quarter. Third quarter revenue of $1.7 billion was comprised of 3% organic growth, offset by a 3% impact from dispositions net of acquisitions. FX was minimal in the quarter. Organic growth remained above 3% in Q3, despite headwinds in Refrigeration and Food Equipment. FX, which was a tailwind of 2.2% in Q2 decelerated into Q3, resulting in a small headwind of a 0.5%. We are using a US dollar-euro assumption of $1.17 in our current forecast. From a segment perspective, Engineered Systems grew $35 million organically and fluids grew $58 million on broad-based activity. Weak retail refrigeration markets and delayed shipments and can-shaping equipment drove a $39 million decline in Refrigeration and Food Equipments' revenue. Bookings increased 3% overall. Organic growth was 6%. Of note, Engineered Systems and Fluids' organic bookings grew $38 million and $77 million respectively, reflecting broad-based market demand. From a geographic perspective, the U.S., our largest market was flat organically where broad-based growth in Engineered Systems and Fluids was offset by Retail Refrigeration. Europe was up 2% organically and Asia grew 23%, largely driven by strong activity in our Fluid segment. Finally, book-to-bill finished at 0.98%. Let's take a look at the earnings bridges on Slide 6. Starting on the top, engineered adjusted segment EBITDA improved $8 million, largely driven by solid conversion on broad-based revenue growth. Fluids' EBITDA growth of $9 million reflects better execution in retail fueling and conversion on volume in our other businesses. The $23 million decline at Refrigeration and Food Equipment reflects lower volume and negative business mix. Going to the bottom of the chart; adjusted earnings improved $16 million or 9%, primarily driven by lower interest and corporate cost and a lower tax rate. Now on Slide 7; our nine-month free cash flow was $284 million or 66% of earnings from continuing operations. Third quarter free cash flow was $206 million, was on track with our expectations and largely in line with last year. We expect the fourth quarter to be our highest free cash flow quarter of the year, which is our normal pattern. Of note, the free cash flow impact of our restructuring initiatives on a year-to-date basis was $39 million of which $11 million was paid in Q3. In all, we expect to deliver full year cash flow within the range that we provided at our Investor Day in September. Moving to Slide 8; finally, we completed the open market portion of our 1 billion share repurchase program in the first week of October after repurchasing a 148 million in Q3. The 700 million ASR will be finalized by year-end thus completing the full program. With that, let me turn it back to Rich.
Rich Tobin: Okay. Thanks Brad. Let's try to put some color around some of the segment performance in the quarter starting on Slide 10 with Engineered Systems. Engineered Systems had a solid broad-based quarter with seven out of eight operating companies posting improved revenue, driving a topline organic growth of 5%. Margin conversion in the quarter was excellent at 47% with all operating companies improving profitability quarter-over-quarter. Our printing and identification platform had solid performance in market by margin digital printing both of which posted topline growth greater than the average of the portfolio at accretive margins to the segment. Market modest growth is broad-based geographically with particular strength in consumables, which is positive to margins. Dover digital printing was driven by large equipment shipments and cost control initiatives, offsetting a competitive price environment. The industrial platform business is all increased comparative profits as our CapEx levered businesses continue to operate in a constructive demand environment. Our ESG business continued to deliver strong absolute profit results despite having a less rich product mix during the quarter and the continued pressure from higher raw material cost pass through. Our vehicle service group delivered its strong margins margin performance of the year despite its European facilities beings down for scheduled maintenance in the quarter. OKI, DESTACO and TWG continued to benefit from end market CapEx-driven demand and dealer stocking and microwave products continued to perform in what we believe to be a multiyear constructive environment for military spending. Going into Q4, bookings for Engineered Systems remained solid. We expect the quarter to be a good one, despite some comparable negative product mix in ESG and microwave products and FX headwinds in our businesses that are material exposed to Europe predominantly, Markem-Imaje, digital printing and ESG. Next slide. The Fluid segment posted organic growth of 9% for the quarter with the majority of the portfolio posting comparative topline growth with particular strength in our fueling and transport businesses. Consolidated margin for the segment was flat largely as a result of the dilutive impact of fueling systems to segment margin and some transitory footprint issues in our transport business, which should be largely contained in Q3. Our pumps and process solutions businesses all performed well during the quarter. Incremental margin performance in PSG, MAG and Precision Components were all in excess of 50% in the period, as a result of volume leverage, mix pricing and cost control initiatives, outweighing input cost headwinds and tariff costs on imported components. Colder continued to perform well in the period in both the top and bottom lines as a result of solid demand in single-use connectors. Fueling and transport had a choppy quarter from a margin conversion point of view, but we are encouraging in our exit margin for the quarter and our forecast for topline and margin conversion leading into Q4. In Q3, DFS posted solid topline growth and while incremental margin performance was still below expectations, it was improved and leaves us to be confident that the majority of our footprint consolidation costs are behind us and that we are headed in the right direction in meeting our margin objectives as we outlined in our September presentation. In OPW, while our margin performance was satisfactory, we did have prior period footprint-related costs in the quarter and lost production time at our North Carolina facility as a result of weather-related issues. Our Q4 forecast for Dover is largely driven by the expected improvement, margin conversion in the Fluid segment, particularly driven by our fueling and transport businesses, improving their operational performance and the beginning flow-through of our cost control initiatives. I've just returned from our facility in Dundee, Scotland, while there remains much to do, I am confident that our line rates are set to improve through the quarter and will benefit from the industrial absorption and reduction in frictional costs. Of note, we are assessing the outlook for EMV demand in the U.S. in 2019 and we'll be making some decisions as to the appropriate level of component stock to be carried into January to support projected demand. Moving on the Refrigeration and Food Equipment had its toughest quarter of the year and Q3 with segment revenue down 12% to $386 million. While we have been expecting another difficult quarter in retail refrigeration, we are caught off guard in our Belvac business, where machine deliveries have increasingly deferred into 2019, negatively impacting our prior forecast for segment margin for the quarter and full year. Our full-year segment forecast now incorporates a more modest decline in demand and Retail Refrigeration as this business begins to bottom and a push out of machine deliveries from Belvac into 2019, which are as significantly accretive to margins in the segment. This negative mix impact will be partially offset by cost control actions undertaken in the year, largely in the Retail Refrigeration business. This earnings miss in Belvac does not add an additional operational challenge to the Group, nor does it change the fundamental value of the business in the portfolio as it is unique asset, capable of delivering high, but inherently lumpy returns. As we presented in September, we've begun in earnest to address our footprint actions in the segment as it is the clearest path to improving margins to the target ranges that we established in the presentation. We expect to begin in Q4 and continue the project through 2019. Let's go on to the next slide, as we noted in the morning's press release, we are progressing as planned in the rightsizing initiative that we announced at our Investor meeting in September. As you see in the slide, we are well on our way to concluding the reduction in force portion of the plan and you can see the reconciliation of the PLL impact for both the restructuring charge and the SG&A cost reduction in Q3 and the projection of the timing of the charges for the balance of the plan. The non-headcount portion of the plan will be almost exclusively weighted towards 2019 and I think that Brad addressed converting these charges into cash, we can deal with the Q4 charges and what do we project on that cash impact in the Q&A. Moving on to the next slide is the guidance, which I addressed in the press release in my comments on the segment outlooks to conclude. We enter Q4 with good order backlog to cost much of the portfolio, which has weathered the challenges of higher input costs in an uncertain global trade environment during the year. Clearly there remains much to do to deliver on our full year guidance, but by acting decisively our cost structure, we are in a good position to deliver. I've been encouraged by the engagement of our leaders to embrace these changes and I'm looking forward to embarking on the next stage of our initiatives and our objective of delivering best-in-class operating performance. That's it. Let's move on to Q&A.
Paul Goldberg: Thanks Rich. Laurie, before we have our first question, I just like to remind everybody, if you can limit yourself to one question with a follow-up, that will be able to get more people in the queue. Let's have our first question.
Operator: Your first question comes from the line of Andrew Kaplowitz of Citi.
Andrew Kaplowitz: Hey. Good morning, guys.
Rich Tobin: Good morning.
Andrew Kaplowitz: Rich, at the Analyst Day in September, you mentioned you're starting to see some stability in pricing within Refrigeration. You kind of did talk about in the presentation today, you'd also mentioned some interesting new products coming out. Obviously, you have the Belvac delays there, but margin was lower than most of us thought. So can you -- is it too early still to call it bottom there and can you keep up with the cost there? Can you use cost pick up to keep up with the volume declines as we go into 2019?
Rich Tobin: Okay. Well, I think that we need to bifurcate the answer between the headwind on Belvac that is really going to move into 2019. That's going to cost us about $10 million in comparable profits to Q4 last year. We're not where as I mentioned, I am not worried about the business overall. The backlog is there. It's just that these are pretty lumpy revenue and returns and the margin on the Belvac volume is quite high. So we're going to have to make up that particular headwind on that basis from that with cost control actions of the aggregate of the cost control actions. On Retail Refrigeration, we haven't really seen a positive pricing environment, but I think that early data shows that some of the negative pricing pressure that we saw in the first half of year has begun to moderate. I don't think we're prepared to call the bottom, but at least from what we can see in backlog is going into Q4 clearly the market started slowing down at the end of last year. So the comp gets better, but the rate of decline in terms of the backlog is significantly smaller than we've been seeing all year. So I don't think we are prepared right now to say we're at the bottom, but I think the data would show that the decline has come down quite a bit and that the pricing headwinds have moderated some. We're going to really move from our decision-making process going into next year is really going to be to call the size of the market and that's what's going to drive the cost takeout from a footprint point of view, but that's really a full-year project that can take us to do it. So I'm -- look, I just don't think it's getting that much worse going into '19, but I don't have any indicators that say it's going to be better in '19 other than the fact that I think that we will benefit from the -- through the year cost takeout when we start doing the comps going into 2019.
Andrew Kaplowitz: Great and then Rich, maybe can you give us some more color into revenue growth across the company. Obviously, you talked by geography, U.S. is flat. We know it's Refrigeration sort of holding that down. Asia 0.3%, obviously there is a lot of concern out there on the macro side into China and Asia, but didn't seem like you guys are seeing it. So maybe talk about the visibility you have in two of the geographic growth as you go Q4 and into 2019?
Rich Tobin: Look clearly the North American market is the leader in terms of the demand, but in our exposure to Asia overall, is relative -- it's not overly material, but right now are the demand that we've seen particular in China is kept up. A lot of that is in the underground portion or the OPW portion of the business right now. North America I think it's a couple different tales at the end of the day. I think the CapEx levered businesses that we have are posting good topline growth. I think if you go through some of the -- some of the comments that I wrote in the press release about who's clocking double-digit growth, we can go through it again, but our fueling systems is close to 15 for the quarter. So that begs the question of what going to have to happen to EMV. So I'll leave that to a follow-on question. But overall, GDP in North America is up and it's driving the CapEx end of our businesses. I think the Markem-Imaje is just performing in the sector. So it's growth was close to 5% for the quarter. So it's clocking quite well and that as I mentioned in the margin conversion in those business has been excellent.
Andrew Kaplowitz: Thanks. That's good color.
Operator: Your next question comes from the line of Stephen Winoker of UBS.
Steve Winoker: Thanks and good morning all. Hi, just a couple questions; one, not just because you cheated off. So what was the EMV growth in the quarter? What are you seeing in terms of trajectory there and how are you thinking about that going forward?
Rich Tobin: I won't put it in percentage terms, but EMV grew during the quarter approximately 5%. The expectation that that same rate will continue into Q4, I think that our view is US demand, EMV-driven demand however we want to describe that between [indiscernible] and full units is going to be up next year. I just don't think we're prepared to put a quantum on it yet, but clearly it's going to be in our 2019 guidance. So it's coming, the decisions that we're trying to make is how much inventory delay in as I said in my comments, how much inventory delay in to be prepared if we get a big flex at the beginning of 2019.
Steve Winoker: Okay. Good to hear. And then I just want to follow up at Belvac commentary as well, simply because if we go back and listen to their comments from last quarter, at that time it was pushed and the thought was look it's backend loaded to Q4. The expectation was that it will remain. So specifically, it's always easy for a lot of companies as they project push out for large projects. Can you give us a little more comfort level that of what's going on here and why it's sort of just one more quarter and we can then put in our own numbers for Q1.
Rich Tobin: Yeah, look I think that we're pretty transparent. We're caught off guard bias right. We had the backlog and we're moving into beginning the source and we did source some of the raw [ph] to actually get into building out some pretty large units. The deliveries have been deferred. Now what does that mean for 2019 is an additive. I think it's too early to say, but I think that what we believe is what we had in the pipe. We're going to deliver in 2019, but I mean, look these are very big machines. So they had big ticket prices on them and they have very high margins on is pissed off as everybody that the fact that they got, but I don't believe that it's something that's changed in terms of the market structure that you know what I mean, that some reason that the retail what would it be called, retail food for beverage is rolling over by a stretch imagination and our customers there are a lot of times retail beverage. There's some of the canning makers themselves. So I don't think it's overly worrisome. I just think that the timing of it is poor and the fact that it happened in a sector that we've already had headwinds in is it makes it doubly poor, but I think it's still a good business and I would expect that, that we'll deliver on that volume that we should have been in 2019.
Brad Cerepak: I would just add to your comment earlier, we'll just have more to say about this in January '19, but I would not at this stage think that it's an automatic ship in the first quarter. We'll come back on the timing of that, which is expected to be slightly later than that or later than that.
Steve Winoker: Okay. All right. That's all really helpful. I'll pass it on. Thanks.
Operator: Your next question comes from the line of Jeffrey Sprague of Vertical Research Partners.
Jeffrey Sprague: Thank you. Good morning all.
Rich Tobin: Good morning.
Jeffrey Sprague: Rich, want to think a little bit more about the puts and takes in a little more detail, the Belvac color is really helpful. If we think about I guess you got roughly $24 million of restructuring tailwinds in the numbers here in 2018. Should we think kind of the most of the kind of missing upside for lack of a better term is just price cost. Can you give us a little color on price cost in the quarter and what you're dealing with there and any kind of pricing counteraction that you're taking?
Rich Tobin: I think as I mentioned in my comments, I think that both the Engineering Systems Group and Fluids Group performed as we expected. I think at the end of Q2, I made some comments that if you looked at the trajectory of earnings in Engineering Systems that you couldn't just clock that through the balance of the year because of the fact that we knew that Q3 is going to be a little bit light to that trajectory. Now having said that, the incremental margin on that revenue is still significant. So it's not by any means a bad performance. It's just that we expected that to happen to a certain extent. On Fluids, I think the growth rate is still very good, but it's a little bit of the same story that we've had year-to-date in terms of the margin conversion on the DFS portion of the business. It actually exited quite well in the month of September and that's why in our full-year forecast, a lot of our operating performance, at least our comparable operating performance year-over-year is can be driven by Fluids.
Jeffrey Sprague: And think I was also curious. I think you said the footprint restructuring is now actually done in fueling. I was thinking that was more of a 2019 exercise. Is that correct?
Rich Tobin: No, no. What I was saying is that we've been carrying around the cost of the Dundee consolidation. The Europe, the first piece of the European footprint, which never went into restructuring. We've been taken that through the P&L all year. That is largely complete. So that's where I was last week. Look, we're getting into the gory details. Line rates are picking up, the absorption is picking up and without getting into monthly margins, I look at our September margins in DFS. They’ve moved up significantly. So it leads us to feel good about the fact that that's where we have a lot of demand going into Q4, if we can convert September margins, we're in pretty good shape.
Jeffrey Sprague: Great. Thanks for the color.
Operator: Your next question comes from the line of Julian Mitchell of Barclays.
Julian Mitchell: Thanks. And thanks for the concise nature of the preparatory remarks. My first question I guess is on the free cash flow. I saw the detail on restructuring and so forth, but working capital has been a big drain in the first nine months, $160 million or so of the cash out. So I just wondered how quickly we should expect that to reverse and whether one should expect a much better performance on that next year?
Rich Tobin: Well, I think that Brad said in his comments that we expect to be within the range that we gave as a percent of revenue in the September presentation. It's going to clearly going to take some heavy lifting to get there, but we think we are confident we can get inside the range. And in terms of 2019 performance, well, if I take out the restructuring, the cash impact on the restructuring, that's going to depend on our guidance for topline revenue right. So again we are building net working capital, which is pretty much inventory receivables on the back of topline growth. Refrigeration is just not large enough to offset that. So our liquidating inventory on refrigeration side because revenue is coming down but conversely we've been building inventory on some pretty good growth rates on the balance of our business. We are not clocking at best-in-class cash flow clearly. So there's a lot of work to be done, but before we start giving '19, I think that I'll put it this way. In '19, we'll be through in the range that we gave in September. How that dynamic functions is going to be a question of once we call growth rates for 2019.
Julian Mitchell: Thanks. And then just circling back to maybe one more time to RFE, are we right in thinking that this year, the adjusted profit is sort of about $150 million for that business and then yeah if you do or don't want to get caught around that may be related to it, how quickly you think we start to see footprint consolidation savings next year in that business?
Rich Tobin: Let's not -- look, I won't answer the question about the segmental margin expectation, other than the fact I did give you some color on the quarter-to-quarter. It's going to be $10 million negative impact because of Belvac year-over-year. So that something that we are going to have to make up. The footprint optimization will begin in Q4. It's not to be overly material. I think that the bigger in terms of its positive impact in 2019 but we will give you the color around that when we make the formal announcement. I think that the bigger positive is going to be the fact that we've taken out a significant amount of overhead out of that business through the year right. So we've been rightsizing as we've gone down. We have flat revenue and we'll get the benefit of the full-year benefits taking that out. The larger footprint issues are going to take throughout 2019, because there is a pretty large endeavors in terms of -- in terms of lot of automation and then dealing with the actual physical footprint.
Julian Mitchell: Great. Thank you.
Operator: Your next question comes from the line of Andrew Obin of Bank of America.
Andrew Obin: Yes. Good morning. I just have a simple question given that you sort of started our cost cutting in Q3 and Q4 back on September 11, you said $0.53 of net benefit in 2019. Can we assume that everything you have done so far is consistent with that framework?
Rich Tobin: Yes.
Andrew Obin: So still -- so those numbers still stand. And then the second question on sort of timing of restructuring in Refrigeration Food Equipment and also you talked about footprint. Looking at the queue, there was just not a lot of restructuring in the business and I understand that Belvac was part of it, but should we think that this restructuring is sort the timing here is related to the sort of the timing of footprint rationalization as well. Is that the way to think, just thinking about the timing of what's going on in that segment?
Rich Tobin: Yes and no, is the answer to that question. If you go back and look at the presentation in September, there wasn’t a lot of restructuring in that particular segment because management had been taking out costs all year as the revenue had gone down. So there was not a lot of low hanging fruit per se. There is some restructuring the comes along with the footprint actions, but there is isn’t any kind of residual structuring that we're just waiting on timing in terms refrigeration. It's overly material.
Andrew Obin: Fantastic. Thank you very much.
Operator: Your next question comes from the line of Deane Dray of RBC Capital Markets.
Deane Dray: Thank you. Good morning.
Rich Tobin: Good morning.
Deane Dray: Hey, I would like to go, Rich to your comment on seeing competition in inks in Markem-Imaje and I don't think I've heard this before because you do make your own inks and the whole kind of proprietary nature of your inks you could only use your inks with your equipment. So how has come competition in inks cropped up into this business?
Rich Tobin: Well, I should have been more specific. So I apologize. That was a comment about our JK Business that is part of digital printing. It was not a comment. I think the comment I made about Markem-Imaje is performance and its incremental margin was because it was driven by consumables, which is largely ink at the end of the day. So no issues in terms of that side of the business. The competition on inks is more on the -- on the digital print side.
Deane Dray: Okay That's really good to hear. All right. Thank you for that,. And then maybe just a broad question about the footprint reductions that you're facing and a lot of questions about like in retail fueling you're cutting back on inventory, what about the other side to this? Are you going to step up and build some buffer inventory to avoid some disruptions as you go through these footprint reductions?
Rich Tobin: That's two different questions. Number one, we're actually carrying more inventory than we would like in retail fueling. Some of that is based on the fact that the topline growth has been robust, but it's very much impacted by some of this footprint consolidation work that started last year in supply chain, right. So this whole closing of Malmo and moving to Dundee, you're basically transferring a significant amount of working capital it takes longer to grind through the systems. So we're not -- we're actually not happy about our performance right now. It's understandable but we're not pleased with it. The comment I made about inventory in DFS is it's a question of how much can we clear out operationally. We've got a good backlog. So we should be able to perform in Q4 and consume a lot of that kind of operational inventory, but we really need to make a decision about EMV for 2019 and we don't want to get caught off-guard. I don't want to be sitting here at the end of Q1 saying that we've got -- we've got frictional costs for expediting in air shipments because we didn't have enough kits in place to support the demand of EMV Right now we're not entirely sure what the pace of the start off in EMV is going to be in 2019, but I'm reasonably sure there we're going to be prudent and make sure that we carry some inventory into '19 that we can support whatever demand is there.
Deane Dray: How about the buffer inventory, just as a safety practice as you embark on these footprint reductions?
Rich Tobin: Yeah I think when we when we do a material one, I think that would be part of the disclosure.
Deane Dray: Okay. Thank you.
Operator: Your next question comes from the line of Steve Tusa of JPMorgan.
Steve Tusa: Hey guys, good morning.
Rich Tobin: Good morning, Steve.
Steve Tusa: So just to clarify the free cash flow commentary a little bit, you said you're going to be within the range, but it's a little bit of a TBD. Should we just assume kind of the low-end of the range I guess is what you're saying kind of the 8% range for this year?
Brad Cerepak: I think you can assume that it will be in the range Steve. I can't get down to the level of granularity to say it's going to be 8.75%.
Steve Tusa: Okay. And just to be clear, the $40 million of restructuring at about 50 Bps of that headwind?
Brad Cerepak: In terms of the cash flow headwind.
Steve Tusa: Yeah, just a headwind on the cash margin.
Brad Cerepak: I haven't made that calculation. I think that we can expect out of the fourth quarter restructuring charge, approximately I'd say 50% of that charge would be cash and the balance of it would probably slow.
Rich Tobin: We also have some carry over. So I think the full year cash flow impact including Q4 is about $59 million, $60 million of cash. It's little bit higher than 50 Bps if you want to do the math.
Steve Tusa: Okay. And then one quick, just follow up on PID, you are doing I think some restructuring in PID, I would assume or is any of that restructuring related to you know kind of sales or stand or service?
Rich Tobin: No. It's far more back office and you saw from our press release the other day about it's about as open our digital center part of that has to do with the fact that of the transfer of some assets between Keane and Boston.
Steve Tusa: Okay. Great. Thanks a lot.
Operator: Your next question comes from the line of John Inch of Gordon Haskett.
John Inch: Good morning, everyone. So the queue called out week refrigerated door case sales and it kind of implies there is a remodeling aspect to this, which I think you might have even cited somewhere in the queue. Is that a new phase of segment weakness? It may not have as much impact because of it's just not as big as the other but I am just trying to dovetail that with Rich your commentary around sort of the pricing dynamic seems to be improving and getting closer to a bottoming.
Rich Tobin: Okay. Well no nothing's really changed. The build-out -- so the Greenfield build-out of new construction has been weak, what we did not expect at the beginning of the year and we've been kind of been writing it down on a year is that a lot of maintenance cap or refurbishment CapEx has been deferred or is not done in '19. So dynamic is the same, but the rate of the decline has moderated at the end of Q3 going into Q4. So it's really nothing there.
John Inch: Getting that maintenance get caught back? What kind of deferrals -- that's why I'm asking this question about the context of maintenance and sort of whereas we are at in the industry cycle? Is this somehow would have been normal to expect or is it something that's new. It may not be that impactful, but it's still new suggesting industry troubles are going to go on for a while?
Rich Tobin: Hard to say right now. My best guess is we're bottoming right now. So worst case scenario it's flat in '19 better case scenario, the maintenance portion of the spend starts to move back up.
John Inch: 50% almost 50% variable contribution margins in ES, is there a mix angle that's driving such a big off-profit improvement in that segment to drive the margins? What's sort of behind the number to cause for that result?
Rich Tobin: It's a combination of good mix and good operational performance. I think that we've got certain businesses that have done well, pricing in excess of input cost headwinds are CapEx levered businesses, some of them are highly engineered products and those -- and as such, the margins on that volume are very good.
John Inch: Just one last one -- as you've gone through this third quarter into fourth quarter restructuring, is some company that they go through these restructuring programs, the more they cut, the more they realize, they can't cut and I'm just curious where we are today versus your expectations when you started? Are you seeing as much more -- what's sort of the feedback as you think about the opportunities that maybe the opportunity set to go after maybe even some more overhead cost out that you had previously talked about?
Rich Tobin: I think it's a little bit too early to talk about more overhead cost. What I can tell you is that I'm proud of the management team here embracing the challenge to take the cost out because it's just not easy, but I think that there's a belief that we have a plan in place that allows us to take these costs out while reinvesting in those platforms to make the businesses stronger.
John Inch: Thanks very much.
Rich Tobin: You're welcome.
Operator: Your next question comes from the line of Joe Ritchie of Goldman Sachs.
Joe Ritchie: Thanks. Good morning, guys.
Rich Tobin: Hi Joe.
Joe Ritchie: So Rich, it look like pricing got a lot better this quarter than it has been the previous two quarters, just maybe talk a little bit about how much of that is tariff-related versus to pricing that you're getting and like how should we be thinking about that number moving forward over the next couple quarters?
Rich Tobin: It's not materially better pricing, I think it's much more weighted towards mix and price overall. I think that by and large I think that we've done reasonably well in terms of price. Some operations better than others based on kind of the backlog and uniqueness of the product, but there is not a lot of price. I think that there is you see volume leverage coming through and you see better mix coming through, more than price. I mean there is a little element of price, but net of all cost headwinds, it's a relatively immaterial number.
Joe Ritchie: Okay. All right. It just seemed like it had gotten a little bit better just based on the queue, but that's okay. Maybe just following through on like the Belvac discussion, so recognize that Belvac surprised you guys, I'm just curious like what are your customers saying? Are the deferrals related to tariff-related concerns? I am just curious if there's any additional color there?
Rich Tobin: Yeah it ends up being a dogs breakfast. There is a variety of different reasons, they are all rational. They are timing in terms of all build-outs of their own footprints. I think that there is an element of kind of macro that's embedded there to a certain extent. It's been -- some of the -- a lot of this volume is international volume and you've got a variety of noise out in the system, which I think is making people little bit more deliberate in terms of their own CapEx plans. I think that the projects are intact overall, but I think some of it has caught up in that kind of general macro noise.
Joe Ritchie: Got it. And if I can maybe just quickly clarify Andrew's comments from earlier, with the restructuring benefits that you have coming through from the rightsizing this year, so I call it roughly $24 million, the investment right now it all going to happen in 2019 right. So the incremental benefit should be around $0.39, is that right?
Rich Tobin: Well, I said it was a gross of 130 right and out of the 130 that's round here, 25 gets picked up in 2018 right. So it's a rolling -- it's a rolling 12 on 130. So we're tracking right along. I said about that '19 is if you go back and look at the presentation, a percentage of it is headcount related, that's the part that we're substantially complete. The balance of it is the consumption of SG&A by that headcount to a certain extent is the kind of broad-based say that you get in '19 right. So the full effect of that portion is in '19.
Joe Ritchie: Got it. Thanks guys.
Operator: Your next question comes from the line of Nigel Coe of Wolfe Research.
Nigel Coe: Thanks. Good morning. Just to go back to your previous comment Rich about the pricing. At the queue it calls out 1.1% pricing which is pretty decent. It's certainly a lot better than last quarter. Is that a price mix number or is that pure price?
Rich Tobin: Yeah it's a price, it's a pure price right, but it's a pure price net of input.
Nigel Coe: Okay. I'll pull off, but 1.1% is not bad.
Rich Tobin: That's for the earnings thing. That's pure price. That's not mix. On the revenue side, it's pure price on the EBIT side, it's a net number.
Brad Cerepak: As we said, it's slightly better than what we expected going into the third quarter. Material costs are up slightly too. So the net, net is it puts us in the same position we were before. That's the way I think about it?
Nigel Coe: So my question was really, is that 1.1%, is that fully loaded? Was it some price increases that came through during the quarter that makes 4Q better than the 1.1% or is that a good run rate from here?
Rich Tobin: No, I think that's a good run rate because our businesses have been added for a while and we're seeing good momentum in certain of the businesses, which have a higher input cost and I feel like it's pretty stable going into the fourth quarter?
Nigel Coe: Okay. That's helpful. And then Rich, you made small comments, which I thought was interesting. You mentioned that you saw some dealer stocking, I think that was in the sector, but did you see broader dealer stocking during the quarter? And then you mentioned I think the weakening in Europe going into 4Q. Did I just pick up those right?
Rich Tobin: Sure. Well, look we've got businesses that are in certain cases 80% of the revenue goes through distribution. So you can't really see the retail customer. So our revenues are two dealers at the end of the day. So a dealer stocking is not necessarily a bad thing because of the fact our dealers only stock based on their projection of demand. So overall we're talking about some of the smaller businesses like TWG and OKI, I wouldn't be worried about kind of the that we're kind of pushing into dealers and that we're going to have to pay the price for that. I think it's more of a positive comment of some of our businesses that sell through distribution. Our network is positive and they're trying to get their hands on what we make.
Nigel Coe: Great thanks.
Rich Tobin: Yeah and then the second part of it was more of an FX-related comment right. So quarter-over-quarter, there is a headwind on the euro. I think Brad kind of cleared, he went through the trajectory of it and based on I think we use a $19.01 -- $19.07, so there is a headwind at least in the way that we're forecasting on our European levered businesses, which is largely more revenue a revenue issue than anything else.
Nigel Coe: All right. Okay. Thanks guys.
Operator: Your next question comes from the line of Mircea Dobre of Baird.
Mircea Dobre: Yes, thanks. Good morning. Just looking at your Slide 13, the rightsizing update, I realize this is a little nitpicking but your mix of gross savings has changed a little bit. Can you maybe give us some color as to what's driving assuming a segment level?
Rich Tobin: Yeah, I don't think it's a change at the segment level. I think if you notice on the cost side, there's a little bit of cost now associated with corporate, well that's driving a little bit of the benefit side as well. So it's just a minor change.
Mircea Dobre: Okay. And then just making sure that I understand this correctly, back to any -- so if we're looking at '18 and I was what carries into '19, you're essentially saying that you got $10 million Belvac contribution to operating income that switches into '19 and you've got the savings from the rightsizing here that you’ve detailed on this slide that's another what call it an 10 incremental. So that takes us to 20. Is there something else that we should be aware of in terms of specific drag that you had in '18 that will no longer be there in '19 or anything else that kind of helps us make that bridge?
Rich Tobin: I think that's enough for now.
Mircea Dobre: All right.
Rich Tobin: I mean we'll do it when we close the year and we give the kind of the guidance overall, we'll give you the color of what we think about '19, but right now you’ve got your fingers on the two pieces right. It's in the cost takeout in '18 and the Belvac mix that you can kind of roll forward.
Mircea Dobre: Well, then maybe you'll humor me with one more, that you mentioned this impact from Section 301 tariffs on fluids. I'm wondering can you detail what the magnitude has been and what the drag would be going forward?
Rich Tobin: You know what, I've got a big spreadsheet in front of me. I can tell you right now that we're covering it through productivity and price. So I don't believe it's a drag. If it's specifically about RF&E, I'm not aware of any material exposure to imported components in that particular segment.
Brad Cerepak: On 301 yeah. Certainly on 232, which we've talked about before, but again we'll have to see how that progresses into '19. but at this stage Rich is correct, it's not a big number on 301 for us. We don't ship a lot of product out of China into the U.S. and at this stage it's been covered to productivity.
Mircea Dobre: Great. Thanks.
Operator: Your next question comes from the line of Nathan Jones of Stifel.
Nathan Jones: Good morning, everyone. I've got one more on the Belvac push-out, I think Brad said don't expect that to ship in the first quarter. So these shipments have now been pushed out probably close to a year. Do you have contractual protections against cancellations in this? How do you feel about the potential for those orders to not shift to the right actually go away and what gives you confidence that, that won't happen?
Brad Cerepak: There is an amount of progress building and once we start the engineering and the procurement phase, so I don't expect a double negative on an additional push out and look and crystallizing that backlog into orders as I think that Brad was right to say, look we believe that it's going to roll into '19, but let's be careful. It's not as of January 01. We're going to kick it off and we would expect a big comparable bump on the segment in the first quarter because of that translation right. We believe we will get it during the year. It's unclear right now when we kick it off.
Nathan Jones: Okay. Thanks. My second question is on pump and process business. I think during your comments you said that that part of the business realized incremental above 50%, demand there has been pretty good for a while. Can you talk about what's driving those high incrementals in terms of improved pricing in the market versus your internal initiatives that kind of thing?
Brad Cerepak: I think that answers -- ends up being incredibly granular. I think that overall it's a combination of volume leverage because the revenue has been moving up in the segment, having a direct impact. I think that the fact that they've got in front of their input cost headwinds that they're either positive or net neutral has an impact and then demand is there. So then just pure volume, that's not kind of absorption, not the absorption impact of it. So it's a combination of all those. In certain businesses and then you’ve got companies like Precision Components that the nature of that business when it's up, its highly engineered product. So the margins on some of those products is very good and we've got particular strength as I mentioned at the end of Q2 in our high drawer colder business that we're expanding the footprint of that business because demand has been great and the margins are very accretive to the segment.
Nathan Jones: Thanks very much.
Operator: Your final question will come from the line of Charley Brady of SunTrust Robinson Humphrey.
Charley Brady: Just a quick one for me to finish it here. Your comment back at the Analyst rate of 15% to 17%, I just want to go back to your earlier comments on how that's performing and without getting too granular, it sounds like it's maybe getting a little bit better, faster than you had originally anticipated.
Rich Tobin: I think it's not better and faster. I think there we're just happy right. We've been bragging that around for the full year. I think the team has worked really hard in a pretty bad situation, that we had in terms of that consolidation in Europe, but they’ve ground through it and we see ourselves coming out on the other side. So we don't have a lot of negative. It wasn't just the consolidation in Europe. It's when you can't get the throughput out of that facility, you're making it up and other facilities, which has got supplier premiums and air freight. So there's a lot of kind of additional frictional costs in the system. That's all coming out because I think that Dundee's has got the feet on the ground now and you couple that with the demand of EMV coming up and EMV products if you will are beneficial to margins of the Group. So we like what we saw of our exit margins in Q1 and that leads us in some amount of confidence and going into Q4 meeting our objectives because from a year-over-year basis what we are looking for is a lot of the year-over-year profit change is going to come out of that particular segment.
Charley Brady: Just one more on OPW, you commented there is a weather impact obviously. Can you quantify if that's material on you lost few days on the margin perspective, and now working back, can you quantify that?
Rich Tobin: I don't have the number in front of me. It's not overly material. I think the bigger issue that OPW had, just at a quarter-to-quarter basis was some footprint consolidation cost that they had started before kind of we announced this new initiative right. This is something that's been going on all year. They finished it up and then they took some charges in the quarter, which weren't helpful, but I think like I said it's largely contained in the Q3. So our expectation is that OPW's margins in Q4 are going to be good.
Charley Brady: Okay. Thanks very much. Appreciate it.
Operator: Thank you. That's concludes our question-and-answer period. I would now like to turn the call back over to Mr. Goldberg for closing remarks.
Paul Goldberg: Yeah. Thanks very much for joining us for the Q3 earnings call. We look forward to speaking to you again next quarter. Have a great day.
Operator: Thank you. That concludes today's third quarter 2018 Dover earnings conference call. You may now disconnect your lines and have a wonderful day.